Operator: Welcome to the Progress Software Corporation Q3 2021 Earnings Call. My name is Darryl and I'll be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we'll conduct a question-and-answer session. . I'll now turn the call over to Mike Micciche. Mike you may begin.
Michael Micciche: Great. Thank you, Darryl. Good afternoon, everyone and thanks for joining for Progress Software's third quarter of fiscal 2021 financial results conference call. With me today is Yogesh Gupta, President and Chief Executive Officer and Anthony Folger, Chief Financial Officer. Before we get started, I'd like to remind you that during this call, we will discuss our outlook for future financial operating performance, corporate strategies, product plans, cost initiatives, our acquisition of the Kemp, the impact of the COVID-19 pandemic on our business and other information that might be considered forward looking. This forward-looking information represents Progress Software's outlook and guidance only as of today and is subject to risks and uncertainties. For a description of the risk factors that may affect our results, please refer to the recent SEC filings, in particular the section captioned Risk Factors in our most recent Form 10-K. Progress Software assumes no obligation to update the forward-looking statements included in this call, whether as a result of new developments or otherwise. Additionally on this call, all the financial figures we discuss are non-GAAP measures unless otherwise indicated. You can find a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP numbers in our financial results press release, which was issued after the market close today and is also available on our website. This document contains the full details of our financial results for the fiscal third quarter of 2021 and I recommend you reference it for specific details. We also have prepared a presentation that contains supplemental data for our third quarter 2021 results providing highlights and additional financial metrics. Both the earnings release and this presentation are available in the Investor Relations section of our website at investors.progress.com. Today's conference call will be recorded in its entirety and will be available via replay on the Investor Relations section of our website. So with that, I will now turn it over to Yogesh.
Yogesh Gupta: Thank you, Mike. Hello everyone and welcome. I am delighted to announce two very positive news items today. First, we delivered yet another outstanding quarter driven by strong demand across the board for our products, combined with excellent execution by our teams, which resulted in significant outperformance on both the top and the bottom line. We see the kind of demand environment for our products continuing, which is why for the third time this year, we're again raising guidance for the full year; more on this later. The second bit of exciting news is our acquisition of Kemp Technologies, which extends our total growth strategy. With this acquisition, which is our third and as many years, we will be that much closer to meeting our goal of doubling our size in five years. Most importantly, this deal checks all the boxes of our disciplined acquisition criteria as Anthony will detail later and we will accomplish it in the most competitive environment as seen in many years as the software executives. As you aware, our missing is to be the provider of the best products to develop, deploy and manage high impact business applications. And the key aspect of managing these applications is to ensure high performance and always on availability for an amazing end user experience. Kemp is a leading provider of products that address this need. Kemp products monitor application performance and optimize workloads across servers in the cloud and on-prem to ensure high performance and availability. These products leverage machine learning to look for anomalies and detect IT professionals before end users are impacted. These capabilities, compliment progress offerings, such as what's the goal in a market leader and easy to use metric management, which we acquired with Ipswich. Together we will offer the best application expedience solutions to our customers. Kemp has a strong two peer go-to-market channel that provides global reach, with tens of thousands of SMBs and Progress will nurture and leverage this channel for some of our other products as well. This focus on two tier go-to-market channels has enabled Kemp to win a large and growing set of customers ranging from midsize to some of the largest enterprises in the world who rely on its products to deliver great application experiences. Our broader product portfolio and financial strength will enable us to serve these channel partners better. The cultures of Progress and Kemp are also very aligned. Both organizations have a strong focus on the success of our customers and we dare to innovate and solve the pressing needs of the market. I look forward to bringing the Kemp team on board once the acquisition complete and together driving to even greater success. Financially, this acquisition meets all our discipline criteria and will again result in meaningful value creation for our shareholders. Despite the hyper-competitive M&A landscape, we have demonstrated that we can execute our corporate growth strategy without compromising our disciplined approach. For the third year in a row, we will have completed an acquisition that adds significant revenue, earnings and cash flow. When this $70-plus million revenue deal closes, Progress revenue run rate will be over $600 million with excellent operating margins well over our baseline of 35%, and will continue to generate cash flow margins over 30%. This places us well on our five-year goal to double the size of our business, with an even greater increase in EPS and cash flow. We expect this transaction to close around the end of October, once ready, Premium customer in closing conditions are satisfied. We also see other M&A opportunities in our pipeline that can further advance our total growth strategy. While our focus for the immediate future will be on the closing and integration of Kemp, our ongoing efforts to enhance our sourcing capabilities and to strengthen the depth of our M&A readiness has positioned us well to tackle the next opportunity. We will remain disciplined in our approach as Kemp is further evidence that our total growth strategy is succeeding in building sustainable long-term shareholder value. As you may recall, disciplined accretive M&A is the first of three pillars of our total growth strategy. The second pillar is to keep our core business strong and increase customer retention. We achieved this by continuing to innovate, keeping our product portfolio current by investing in R&D and by focusing on customer relationship management. And the third pillar is operational excellence. We're proud that we've also continued to execute on these two pillars as evidenced by the ongoing strength of our business. So let's talk a bit about our Q3 results in the market for products and our expectations. We have an outstanding third quarter where our business outperformed on every metric, including revenue, operating income, earnings per share and cash flow. Our recurring revenue continues to steadily grow and is organically 4% higher than last year and our overall net retention rate again, exceeded 100%. This outperformance has been driven by two important factors. First, with the continuing emergence of the global economy from COVID, the demand for our products across the board continues to be strong. As a leader in the overall DevOps cycle with the best products to develop, deploy and manage high-impact business applications, we are winning new customers, seeing existing customers to be coming to our offerings and expand their usage. Based on performance in the first three quarters and the continuing strong appetite for our solutions across our product portfolio, we are very confident in raising our full year guidance yet again. The second factor driving our results is the performance of our teams. Our investments in R&D, our sales, marketing and relationship management efforts, our ability to address customer needs and our efficient operational execution, make for a potent combination. We greatly exceeded our revenue expectations and we did so while operating more efficiently than expected as well, leading to a very impressive outperformance of our bottom line. We now expect our full-year EPS to be over $0.20 higher. Our significant increases in the top line and bottom line expectations deflect our confidence in the ongoing market demand and our team. We continue to demonstrate that we can execute well on my business, source and execute acquisitions in a tough and extremely competitive acquisition market and integrate efficiently to create great value for our shareholders through our total growth strategy. When I joined Progress nearly five years ago, I could not have imagined that it would be as strong as we are today and I'm excited about our prospects ahead. Now I'd like to turn this over to Anthony, to take you through the details of our performance, our guidance, as well as details on our Kemp acquisition, Anthony.
Anthony Folger: Great. Thanks, Yogesh and good afternoon, everyone. Thanks for joining our call. As Yogesh noted, the third quarter was exceptionally strong and based on that strength and our continued confidence in the business, we're raising our full year outlook for revenue and earnings per share for the third time this year. In addition to outstanding financial results, we're also very excited about the acquisition of Kemp, which we also just announced. Kemp is one more step in our total growth strategy. It meets all our disciplined financial criteria and brings with it an outstanding team, an established enterprise grade set of products and a phenomenal customer base. I'll speak more about Kemp in a bit, but starting with our Q3 financials, revenue for the quarter was $152.6 million, which represents 38% year-over-year growth and it's approximately $22 million above the midpoint of the Q3 guidance range we provided in June. Let me take a minute to discuss the two primary elements driving the upside in our Q3 revenue performance. And I would encourage you all to have a look at the presentation that Mike referenced earlier, which includes supplemental data and does a good job of illustrating some of the following points. First, approximately $12 million of the overperformance relative to our Q3 guidance was driven by better than expected customer and partner demand for our solutions. This improved environment resulted in better than expected customer retention, larger than expected upsell opportunities with existing customers. And in some cases longer than expected contract durations, as customers seem more willing to commit to our solutions for the long run. This $12 million of over performance relative to our guidance is reflected across virtually all product lines, most notably DataDirect, OpenEdge, DevTools and our Ipswitch products. The second element of our revenue overperformance was the timing of two large contract renewals. In our June outlook, we had forecast these renewals to occur in the fourth quarter with an expected revenue contribution of approximately $10 million. Both of these renewals closed earlier than forecasted and in doing so, accelerated the recognition of $10 million of revenue from the fourth quarter into the third. This timing element has no impact on our full year revenue outlook, which is being raised for the third consecutive quarter. I'll speak more about the outlook in a bit, but for another level of detail on our Q3 top-line performance, we believe ARR provides an informative view. ARR at the end of Q3 was $444 million representing approximately 4% organic growth on a year over year basis. The growth in ARR is a reasonable reflection of our underlying performance in Q3 and was bolstered by net retention rates that exceeded 100% for the second consecutive quarter. In the past, we've talked about the investments we've made in our products, which are aimed at improving customer experience and our net retention rates in Q3 illustrate the continuing benefit of those investments. Turning now to expenses, our total costs and operating expenses were $81.4 million for the quarter and increase of $17.7 million compared to Q3 of 2020. The year-over-year increase is the result of two primary factors. First is the addition of Chef to our business, which makes up more than half of the year-over-year increase and second are variable incentive costs associated with our top line over performance. Operating income was $71.2 million for the quarter up approximately 51% compared to Q3 of 2020. Our operating margin was approximately 47% compared to 42% in the year ago quarter, our revenue of performance and the timing of revenue mentioned previously were the primary contributors to this unusually strong performance in the quarter. Turning to the bottom line, our earnings per share of $1.18 for the quarter was $0.35 above the high end of our guidance range and approximately 51% of our earnings per share of $0.78 cents in the year ago quarter. Moving on to a few balance sheet and cash flow metrics, the quarter with cash and short-term investments of $384 million and approximately $100 million in untapped capacity under our revolving line of credit for total liquidity of $484 million. We intend to utilize a portion of this liquidity to fund the acquisition of Kemp during Q4. DSO for the quarter was 54 days, which is elevated somewhat due to large deals book towards the end of the quarter. However, it's still very much in line with our historical averages. Deferred revenue was $203 million at the end of the third quarter up slightly from the second quarter, reflecting our strong Q3 top line performance. Adjusted free cash flow was $35 million for the quarter up $5 million or 16% from the year ago quarter. And we did not repurchase any stock during the third quarter. As a result at the end of Q3, we have $155 million remaining under our current share repurchase authorization and we're not anticipating any additional share repurchases in the fourth quarter. Turning now to our proposed acquisition of Kemp, we expect to complete the acquisition during Q4 and we'll fund the $258 million purchase price with cash on hand. In terms of financial profile, Kemp is approximately $70 million in revenue with operating margins in the low 20% range. We expect the integration of Kemp to be completed in nine to 12 months from closing with cost synergies from our integration driving Kemp's operating margins above 40%. Turning to our outlook, starting with the full year 2021, we are increasing our revenue guidance to be between $548 million and $552 million. This includes a contribution of $4 million to $5 million from Kemp in the fourth quarter. Excluding the Kemp contribution, our revenue guidance of $544 million to $547 million represents an increase of $12 million to $15 million over the outlook we provided in June. We are increasing our outlook for operating margin for the year to approximately 40%. We are increasing our outlook for adjusted free cash flow to be between $168 million and $172 million and we are increasing our outlook for earnings per share to be between $3.68 and $0.70 . Our guidance for full year EPS assumes a tax rate of approximately 20% and approximately 45 million shares outstanding. For the fourth quarter of 2021, we expect revenue between $134 million and $138 million and as noted earlier, this includes a contribution of approximately $4 million to $5 million from Kemp. Earnings per share are expected to be between $0.73 and $0.75 per share, including the impact of Kemp during the quarter, which we anticipate being slightly positive. In closing, we're thrilled with our financial performance and our outlook for the balance of 2021. And we're also very pleased to be reaching another milestone in the execution of our total growth strategy with the pending acquisition of Kemp. With that I'd like to open the call for Q&A.
Operator:  And our first question comes from Ken Wong from Guggenheim. Go ahead, Ken.
Ken Wong: Great. Thanks a lot guys, and really solid quarter here. Lots to dig into, maybe first on Kemp, you mentioned $70 million of revenue when I looked on the slide deck, it looks like you also have $70 million for Kemp in '22. Is that just kind of assuming all the write downs are embedded in there and or is this a matter of just the business was flat and you guys will somehow get it to reaccelerate.
Yogesh Gupta: We may just be referring to the non-GAAP numbers Ken. So I think, it's approximately $70 million this year, we would expect going in next year that the business is probably a low single digit grower and still sort of in that $70 million low $70 million type range.
Ken Wong: Got it. Okay, perfect. And then as I think about that ADC business and it kind of, then some of the names that come to mind would be like a Citrix and F5, just wondering kind of how loadmaster kind of stacks up against the peers. Is there a certain areas, verticals where you guys see competitive advantages and then as you incorporated it into the broader progress business, I guess, anything that would stand out from any benefits to that incorporation.
Yogesh Gupta: So Ken, we actually find that you're right, folks like a F5 are some of the other folks in this market? Well, what we found is that from a product perspective, it is a phenomenal product that can bring stew to us. So one of the interesting things that we see is that with our broader reach and being able to get the product out there, I think we can do a better job of competing with this product in the market. You mentioned, you really pointed out a really good point about how does it fit with the rest of the products, right? So we have, what's a goal that we'd acquired with Ipswitch, which does network monitoring and the combination of the load balancing and optimizing workloads, with network monitoring and watching what's going on in the infrastructure with Flow-Mon, which is another product that Kemp has, which is around monitoring the application level performance and application network flows. All of that put together, create this wonderful solution to track, monitor and optimize the performance and the experience that end users get in terms of availability and performance from their business application. And then of course there is an opportunity potentially in the future to also take the Kemp products and based on what is needed to drive infrastructure change to optimize things even further, leverage Chef to make changes to the infrastructure beyond just load balancing. So I think there are multiple parts and multiple touch points Ken that you can bring to bear. We are really excited about their product technology offerings. They are truly market-leading and what we have discovered is that even in very large scale competitive situations, they win remarkably well. In fact, one of the things that happened is about I think this is about less than two years ago actually, Kemp ended having a very strong building, creating a very strong channel of partnership relationship with EMC because EMC recognized that this was a great product that actually could sit in front of EMC's object storage solution, right? Because they need something to balance the activity that goes on across storage systems as well. So, it's actually a product that -- and therefore now EMC resells the product as a companion product to their object storage business. So I think that our opportunity -- really market opportunity is to compete and win with this product and the technology is extremely sound.
Ken Wong: Got it. Great. Thanks a lot. I'll jump back in the queue. I'm sure there's a ton of questions on a lot of topics today.
Yogesh Gupta: Thank you, Ken.
Operator: And our next question comes from Ittai Kidron from Oppenheimer. Go ahead.
Ittai Kidron: Thanks. Hey guys, congrats great quarter and a great acquisition. I've known Kemp for some time, and I think you've got a fantastic asset over there. Maybe I'll start with Bangladesh . Maybe you can talk about, yeah, it's great. Maybe you can talk about the go-to market overlap. Like yeah, I don't know if you had a chance all the way to map out channels and partners yours versus theirs to think about how much is incremental versus overlapping.
Yogesh Gupta: I think what we have discovered is that the vast majority of the channels don't have overlap. Obviously they will -- there's always some overlap, right, I don't want to imply that there is no overlap, but they are much more focused on the channel for all their go-to-market efforts. In fact, I believe 100% of their business is through the two tier channel model. Even though we have a good chunk of our Ipswitch business to the two tier channel, we don't really leverage the two tier channel beyond that. So I think there is there's opportunity to continue to help be successful in that channel, both from the strength of our portfolio and our ability to support our partners probably at a better level than a company the size and scale Kemp can. So, we feel really good about that opportunity. We feel really good about that aspect. In terms of, direct go to market, as I said, even though Kemp does interact with prospects directly, they actually do all the business through channel partners. So, it is actually a very complimentary go to market model.
Ittai Kidron: Got it. Okay, cool. And then Anthony, a couple for you, for on the outlook for the fourth quarter, are you really increased the outlook only by $1.4 million. Come on. Surely you can do better than that following the performance in this third quarter now especially given that fourth quarter is a year-end quarter.
Anthony Folger: Ittai, come on you know, my objective is to under-promise and over-deliver. So yeah, I think we're -- we've got a good amount of confidence in the business right now, obviously Q3 was a great quarter. i think we've got enough confidence to take Q4 up a little bit and hopefully, I think we're always looking to put numbers out that we can be very certain, we can achieve and hopefully exceed. So we feel good about how we're positioned,
Ittai Kidron: Okay. Very good. Maybe the last one for me, just to make sure I understand your comments or refer regards to the synergies with Kemp, you talked about nine to 12 months to complete the integration, but is that also the timeline to get the margins from the low 20s to over 40?
Anthony Folger: Yeah, I think that's exactly the right way to think about it, Ittai is that, in the earlier quarters, the Kemp margins would be lower and in the later quarters we would expect the margin profile to get up into the 40s. So, it'll be a gradual increase over that nine to 12 months as the integration activities occur. And then let's say by Q4 of next year, as we exit the year, we'd expect is integrated into our operating model, running at an operating margin of better than 40%. And, that's how the business is going to look for us going forward.
Ittai Kidron: Got it. Very good. Congrats guys. Good luck. Keep it up.
Operator: And our next question comes from Tyler Radke from Citigroup. Go ahead, Tyler.
Unidentified Analyst: Hi, this is Bernie on Kim on for Tyler Radke. Thank you for taking my question. You've pointed out earlier in the call about the M&A environment being the most competitive that you've seen as software executives. I was hoping to get a little more color on that and how you're thinking about the M&A pipeline going forward and how you can balance being active without compromising that disciplined approach? Thanks.
Yogesh Gupta: Absolutely. Thank you. We all know that there are a lot of folks out there looking to buy companies. Private equity is very active, strategic is trying to be very active. I think what we have done is we have built a very strong team that is truly exceptional when it comes to identifying and sourcing opportunities. And there's also very focused on finding opportunities that meet our potential goals, right? So I think that's really the key -- a key thing and then we also have built within Progress a phenomenal team to actually execute on these deals and integrate them. So it's important to sourcing deal -- deal sourcing team, as well as an integration team and that combined with the fact that as business comes to market, we do a really, really good job of quickly battling them down to the ones that are truly interesting and that truly makes sense that fit our size profile, that fits the profile of being businesses with solid recurring revenue and good retention rates. And that basically our infrastructure software, we find assets and we're continuing to find assets. And, we, as a business can identify those and identify opportunities to optimize sometimes more than somebody else can. And then, compete for them and Kemp was a competitive situation. And I believe we have done a deal that is going to return wonderful rewards to our shareholders and I think to me, the fact that we're able to check off all of our financial criteria, the fact that it fits dramatically well with our product portfolio and going into the market with a better solution on both sides combined I think is really demonstrates our ability to execute. So the market is hyper-competitive. I agree, but at the same time, we are seeing way more deals every quarter than we did even four quarters ago and we were seeing over 50 deals a quarter then. So we are actually -- we actually see it very, very large numbers of deals every quarter where we thoughtful, really deliberate and we look for the right ones.
Unidentified Analyst: Great. Thank you. And then in some of the other companies that we cover that have this infrastructure developer oriented models, there has been tremendous tailwind that in some cases, even seeing inflecting demand trends. So I was wondering, even though the M&A based total growth strategy you're executing very well on, is there any consideration to invest more either on the product or distribution to extract more of this industry tailwind? Thanks.
Yogesh Gupta: So we do actually, right. We monitor that all the time and we have actually invested in a whole host of our products. Over the last few years our revenue, which actually was declining four years ago is today, is as you saw right, we have organic growth in our ARR year over year, right? So we are seeing some change. Now we have a very large portfolio of products. Some of our products are not competitive in terms of winning new customers, even though it comes to delivering value to the customers that use them. And we keep those products current and we keep them relevant in the modern world. So I think all -- given the characteristics of our products, we are continuing to invest in them appropriately and by the way, the other part is that we are also committed to a very high margin and a very high cash flow generation for our investors. And so, we balance that as well and we look for opportunities. We invest where we believe we can get good returns and we feel that this is the right strategy. The total growth strategy is the right strategy for our investors, for our shareholders, given what our businesses today.
Operator: And our next question comes from Anja Soderstrom from Sidoti. Go ahead, Anja.
Anja Soderstrom: Great. Thank you for taking my question and congratulations on the great performance and the acquisition of Kemp. So first you mentioned you had new customers coming in and how should we think about what kind of customers are those and how should we think about the potential further organic growth then in your model?
Yogesh Gupta: So, yeah. Thank you. Great question, Anja. We are winning new customers across a wide range of our product portfolio, right? For example, of course, Chef continues to win new customers. It is a very much a relevant product in today's world when it comes to DevOps and DevSec Ops. We are winning new customers with our WhatsUp gold and Move It products, which are the secure file transfer and network performance monitoring and network management products to win new customers with Sitefinity, which is used by enterprises around the globe and organizations around the globe to provide delightful webinar online experiences, while winning new customers with our DevTools products, which are used for building phenomenally new, wonderful front ends to applications and making those user experiences truly engaging. So, it's across the board, we're winning new customers and I expect this to continue, right? It is, obviously, it is gratifying to see the demand for our products and it is exciting to be able to continue to win these new customers and solve problems for them and continue to make our business stronger as we move forward.
Anja Soderstrom: Okay. Thank you for that color. And then I'm also curious, you've touched a little bit on the M&A pipeline, but how did that Kemp about and when did you start looking at that and how long the negotiation cycle with them?
Yogesh Gupta: Yeah, so Anya, the Kemp was a competitive process. At some point the company decided and the investors of Kemp decided that they wanted to find a home for the company that would be potentially a better outcome for them and a better outcome for us and better outcome for the company as a whole, Kemp as a whole. And so, I believe we first started looking at it about four months ago. Usually these things take three to four months, but that's the initial stuff. And then, we are really excited that we are where we are, that we were able to recognize the opportunity that we were able to identify the value that it has. We were able to competitively win the deal at evaluation that is as I said before, checks off all the boxes for us and it meets all of our financial criteria. So, it is that basically is really the most interesting part about it is how do you make it work? Can you identify the opportunity? Can you identify what you're going to do with it? Can you plan that out? And we always do a thorough job of that. We actually plan out the go forward plan before we sign. It isn't as though we basically do the deal and then figure out what we're going to do with the business afterwards. It's actually a very, very thorough analysis of that and I'm really proud and happy of the work that the team has done. And if you notice Anya, from the first to the second deal, it took us about a year and a half to do that. This year from Chef to this has been about, just about a year. And, I think we're getting better and I think we're getting faster. And, I believe, I believe that we can continue to be competitive and find additional opportunities as we move forward.
Anja Soderstrom: It sounds like exciting times ahead. One last question about the Talents acquisition. I'm sure you're also suffering from the industry-wide shortage of Talent. How are you being affected by that and how do you work around that?
Yogesh Gupta: So I think, Anja, that's a really good question. I think to me, right, Talent retention is so key in today's day and age, right? So we, actually have been really happy with the way we have over the last 18 months, two years worked very closely with our organization throughout. Anya, we have now just in the last nine months, one, as I think I've mentioned this before, being selected by Forbes as one of the best mid-sized companies to work for in the US, with 170, 170 out of about 15,000 companies. We were ranked number one by Forbes in Bulgaria, the first number one of all employers in Bulgarian, as you know, right, we have a significant population in Bulgaria, of our employees. Boston Business Journal recently picked us as the best place to work and these are all awards based on how employees feel about us. Our employee engagement is running at least 10 points higher than the industry norm. And I think all of this really points to the fact that we have been very, very thoughtful about what we need to do for employees. And at the same time, I think the employees recognize what we have done for them. And so, because of all this, I think, first of all, the need for us to go look for employees is not as high as maybe some other companies that are seeing greater charm. So I think that's the first part, but the second part you're right. It is a competitive landscape and what we do is we look for Talent just like everybody else does, and it is not easy to find great people, but we are finding great people and we are bringing them on board. And what I think helps them come to progress are several things. We have phenomenal products. We invest in those products. We have phenomenal customers, we invest in making sure that those customers are successful. So whether it is a go to market team, or whether it a product and engineering team, they know that the company is behind them for their success, right. As the sales person knows that if they sell a product that, we will make sure that that customer will be happy and the sales person will therefore not hear about it in the future. And similarly, the product folks know that they get to work on exciting products and exciting things and will move the ball forward. So across the board, we are actually finding talent. We look for them around the globe. That's another advantage we have. We don't have to limit ourselves to one geography or one location. So, we continue to do well. So Anja, long answer to your question, but it is a competitive landscape on talent and we are not that it's easy, but we are doing well.
Anja Soderstrom: Okay. Well, congratulations again and thank you for taking my question.
Yogesh Gupta: Thank you very much.
Operator: And we have no more questions at this time. I'd like to turn the call back to Yogesh for closing comments.
Yogesh Gupta: Thank you, Darryl.. Thank you everyone for joining our call today. I am extremely proud of our outstanding performance in the third quarter, and very pleased to share our confidence in the outlook for the rest of fiscal 2021. I'm especially proud of the whole Progress team and their work on our acquisition of Kemp as well. And we believe this transaction to be yet another example of our execution of our total growth strategy. It will add significant size and scale to our business, and it points us to a promising 2022. I look forward to talking to all of you soon. Thanks again. Bye-Bye
Operator: Yeah. Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.